Operator: Good morning, ladies and gentlemen and welcome to the Third Quarter 2017 Earnings Conference Call Webcast. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to your host Bob Bondurant, Chief Financial Officer. You may begin.
Bob Bondurant: Thank you, Kim. To let everyone know who is on the call today, we have Ruben Martin, our CEO; Joe McCreery, who is our VP of Finance and Head of Investor Relations; and Doug Towns, VP of Commercial Development. Before we get started with the financial and operational results for the third quarter and the year, I need to make this disclaimer. Certain statements made during this conference call maybe forward-looking statements relating to financial forecast, future performance and our ability to make distributions to unitholders. We report our financial results in accordance with generally accepted accounting principles and use certain non-GAAP financial measures within the meanings of the SEC Regulation G such as distributable cash flow or DCF, and earnings before interest, tax, depreciation, amortization, or EBITDA, and we also use adjusted EBITDA. We use these measures because we believe it provides users of our financial information with meaningful comparisons between current results and prior reported results, and it can be a meaningful measure of the partnership's cash available to pay distributions. We also included our press release issued yesterday a reconciliation of EBITDA, adjusted EBITDA, distributable cash flow and quarterly adjusted EBITDA guidance to the most comparable GAAP financial measure. Our earnings press release and our 10-Q, which was also filed yesterday, are available at our website, martinmidstream.com. Now, I would like to discuss our third quarter performance compared to the second quarter and also discuss our third quarter performance compared to our third quarter guidance. For the third quarter, we had adjusted EBITDA of $27.1 million compared to $33 million in the second quarter. Our distributable cash flow for the third quarter was $9.9 million, which provided a quarterly distribution coverage of 0.51 times on our distribution paid in the third quarter. This actual DCF coverage ratio was the same as our guidance for our historically seasonally weakest quarter, the third quarter. Also for the third quarter our adjusted EBITDA of $27.1 million compares to guidance of $30.3 million. And for the first nine months our actual adjusted EBITDA of $106.9 million compared to guidance of $109.2 million, a slight decrease over guidance of $2.3 million. For the quarter we missed guidance by $3.2 million primarily a result of Hurricane Harvey repair and maintenance cost, plus associated business interruption from Harvey which when combined negatively impacted cash flow by $2 million. Now by segment I would like to discuss our third quarter operating performance compared against the prior quarter and discuss our operating performance compared to our segment guidance. In our natural gas services segment, our third quarter adjusted EBITDA was $14.4 million compared to $10.9 million in the second quarter. There was no adjustment in unrealized mark-to-market derivative gains or losses in the third quarter compared to $0.2 million in unrealized mark-to-market gains in the second quarter. These derivative instruments are used to hedge our NGL inventory. Also included in adjusted EBITDA was $1.7 million in distributions from West Texas LPG in the third quarter compared to $1.3 million in distributions from West Texas LPG in the second quarter. The significant portion of the increase in cash flow between quarters for our natural gas services segment was primarily from our butane logistics business. In the third quarter primarily in September, our butane logistics business began selling its seasonal build of inventory in order to adequately supply our customers demand. This will continue in the fourth quarter of this year and carryover to the first quarter of 2018. As a result of beginning to sell our inventory, our cash flow for our butane logistics business increased $4.6 million between quarters. Despite our September sales during the quarter, we had seasonal growth in our butane working capital of $45 million which explains the increase in our revolver debt balance between the second and third quarter. Beginning in the fourth quarter, carrying over to the first quarter of 2018, we will see our revolving debt balance significantly decreased by the cash generated from the liquidation of our butane working capital which totaled $89 million at the end of the third quarter. Compared to our third quarter guidance, our natural gas services segment exceeded forecast by $1.8 million. Our butane logistics business exceeded guidance by $2.7 million. Refinery demand for butanes was higher in September than originally forecasted. So butane sales volume and margin in September was greater than forecasted. Also Cardinal Gas Storage exceeded forecast by 0.9 million due to stronger interruptible revenue than originally forecasted. Partially offsetting the performance in these two areas was the underperformance of our legacy NGL business, and a shortfall in our forecasted distributions from West Texas LPG. Our legacy NGL business missed forecast by 0.7 million primarily as a result of two major customers being down for significant time as result of Hurricane Harvey. In addition to this shortfall, our distribution from West Texas LPG missed forecast by 0.9 million. We had anticipated resolution from the Texas railroad commission on West Texas LPGs dispute over market rates by the third quarter but this has not happened. However, there finally is a formal hearing set before the railroad commission on December 5. Hopefully this hearing will bring a positive resolution to this matter and West Texas LPG can begin to charge appropriate market rates for its pipeline transportation system which runs from the Permian basin to Beaumont. Now moving to our Terminalling & Storage segment, our third-quarter adjusted EBITDA was $13.2 million compared to $14.4 million in the second quarter, a decline of $1.2 million. This decline between periods was primarily from the negative effect of Hurricane Harvey. Our repair and maintenance costs from Harvey was $0.9 million split evenly between our specialty and shore-based terminals. We also had a $0.5 million negative impact from business interruption in our Terminalling segment as a result of Harvey. We anticipate that we have approximately $3.7 million left to spend on hurricane repair in this segment. The majority of this will be spent in the fourth quarter with some carryover to the first quarter. Some of these calls will be offset by delay in our forecasted maintenance capital expenditures which will ultimately carry over to the first and second quarters of next year. Now compared to third quarter guidance, our Terminalling & Storage segment missed forecast by $2.4 million. The negative impact from Hurricane Harvey between repair costs and business interruption in this segment was $1.4 million. The balance of our guidance missed in the Terminalling segment was from a one-time contract adjustment credit of $0.4 million issued to long-term customer that will be collected back by us through increased minimum volume commitment in 2018. Additionally, Martin lubricants missed forecast by $0.2 million due to weaker margins than forecasted and our Asphalt Group volume for the quarter was less than forecasted naively impacting cash flow by $0.3 million. Now on our Sulfur Services segment, our third-quarter adjusted EBITDA was $2.6 million compared to $9.2 million in the second quarter. Our fertilizer business had a decrease in adjusted EBITDA of $6.1 million between quarters while our pure sulfur byproduct business adjusted EBITDA fell $0.5 million. The decrease in our fertilizer adjusted EBITDA was primarily from a 27% decrease in sales volume between quarters. This was a result of the anticipated decline in demand from our customers due to the seasonality of the fertilizer business. Also we had normal annual plant turnarounds at our ammonium dial sulfate plant in Beaumont and our ammonium sulfate plant in Plainview in the third quarter. These turnarounds resulted in a 48% production decline in ammonium sulfate, and a 62% decline in ammonium dial sulfate production. This means we had a large amount of unallocated fixed manufacturing cost that did not get capitalized in the inventory production in the third quarter resulting in increased cost of goods sold on a per ton basis. Again this is normal for our fertilizer business in the third quarter. The decline in cash flow in our pure sulfur byproduct business was entirely result of interruption as sulfur production of several of our key refinery producers were shut down for most of September as a result of Harvey. Now compared to third quarter guidance our sulfur segment missed forecast by $1.4 million, our fertilizer group missed forecast by $0.6 million and our pure sulfur byproduct business missed forecast by $0.8 million. The fertilizer group missed guidance primarily a result of an approximate $8 decrease in margin compared to our forecasted margin per ton. Our margin per ton was f less than forecasted as a result of longer than plant turnaround downtime at our Plainview ammonium sulfate plant. Additionally the pure sulfur byproduct business missed forecast primarily as a result of business interruption from Hurricane Harvey. Now on Marine Transportation segment we had adjusted EBITDA in the third of $1.1 million compared to $2 million in the second quarter. The cash flow from our inland side of business was down $0.6 million between quarters as a result of a 6% reduction in utilization and a 5% reduction in our average day rates. In the offshore side of the business, our cash flow decreased $0.3 million between quarters as our offshore tows in the shipyard for 20 days. When compared to guidance, Marine Transportation missed forecast by $0.8 million. Of this, $0.5 million was from the inland the business due to reduced utilization and lower daily rates when compared to our forecast. Additionally, our offshore Marine Transportation business missed guidance by $0.3 million as a result of 20 days of unforecasted shipyard downtime. Finally our partnership's Unallocated SG&A cost excluding non-cash unit compensation expense was $4.3 million in the third quarter compared to $3.5 million in the second quarter. Our guidance for each of the second and third quarters was $3.9 million. So over the course of the last two quarters on a cumulative basis, we have hit on Unallocated SG&A forecast. Our maintenance capital expenditures and turnaround cost for the third quarter totaled $5.2 million and has totaled $14.1 million for the first nine months. We also continue to carry $13.8 million in assets held for sale on our balance sheet. Now I’d like to turn the call over to Joe to discuss our balance sheet, working capital, covenant ratios and our recent announcement regarding expansion of our West Texas LPG pipeline.
Joe McCreery: Thanks Bob. I'll start with the normal walk-through of our debt components of the balance sheet, our bank ratios and provide a brief discussion of the West Texas LP expansion and capital spending for the remainder of 2017. On September 30, the partnership's balance sheet reflected total long-term funded debt of approximately $830 million. Our balance sheet funded debt is shown before unamortized debt issuance and unamortized issuance premiums as actual funded debt outstanding was $838 million. Reconciling this amount at quarter end, our revolving credit facility balance was $463 million and the notional amount of our senior unsecured notes was $375 million. Thus the partnership's total available liquidity under our revolving credit facility on September 30 was $201 million based on our $664 million revolving credit facility. For the quarter ended September 30, our bank compliant leverage ratios defined as senior secured indebtedness to adjusted EBITDA and total indebtedness to adjusted EBITDA were 2.83 times and 5.12 times respectively. Our total leverage increased by approximately 45 basis points from the June 30 level which is typical given the seasonal working capital swings we normally experienced during the second and third quarters pertaining a large part to our butane business. During the third quarter of 2017, we completed our inventory build of butane at approximately 2.5 million barrels. Based on the current NGL price environment, our carrying values approximately $8.50 per barrel higher than compared to last year. Nonetheless as we mentioned during the second quarter earnings call, we believe we're well-positioned for strong cash flow over the next two quarters. And on a year-over-year comparative basis, the partnership is still showing a leverage - an improved leverage ratio even in the current higher priced NGL environment. Our bank compliant interest coverage ratio is defined by adjusted EBITDA to consolidated interest expense was 3.68 times. Looking at the balance sheet specifically, total debt to total capitalization on September 30 was 73.5%, approximately 3.5% higher than the second quarter again reflecting the working capital increases. In all, on September 30, 2017 the partnership was in full compliance with all banking covenants financial or otherwise. Monday after market closed, we announced that the West Texas LPG pipeline joint venture of which we own 20% interest [indiscernible] owning the remaining 80% and operating the line were constructive 120 mile lateral extension with 110,000 barrels per day capacity into the core of the prolific Delaware basin, as well as additional infrastructure increased existing capacity of the West Texas LPG system. In all, approximate total project cost is $200 million. This project is supported by dedicated NGL production from two third-party planned natural gas processing plants in Northern Reeves County where the most active areas in the Delaware basin. The expansion will be supported by long-term volume dedications estimated to be up to 40,000 barrels per day. We expect the project to be in-service in the third quarter of 2018 and estimate that total construction cost will range four to seven times cash flow. Now let's discuss our capital expenditures during the quarter and expected expenditures during the fourth quarter of 2017. Starting first with our growth capital expenditures, year-to-date we’ve spent approximately $37 million. This is inclusive of the Hondo dropdown acquisition. Looking forward to the fourth quarter, we estimate minimal spinning of just an additional $1 million for a revised total of approximately $38 million for 2017. Looking at our maintenance capital expenditures based on lower than anticipated spending of $5.2 million during the third quarter, we are again modestly revising our full year maintenance CapEx guidance downwards as we now expect maintenance capital expenditures of approximately $6 million in the fourth quarter and thus our full year guidance total will be approximately $20 million. Bringing our cash flow guidance full circle and as shown in the actual performance to guidance slide comparison issued with our press release yesterday, we entered the fourth quarter having earned $106.9 million or about 2% behind adjusted EBITDA guidance of $109.2 million through nine months. On a distributable cash flow basis however, the partnership continues to track positively towards this goal of achieving a 1.2 times distribution coverage ratio having achieved a 1.27 times coverage ratio over the last 12 months, and knowing that our fourth quarter results have historically been strong. Kim, this concludes the prepared remarks this morning. We would now like to open the lines for question and answers. Thank you.
Operator: [Operator Instructions] Your first question comes from the line of T.J. Schultz from RBC Capital Markets. Your line is open.
Q – T.J. Schultz: On West Texas LPG the four to seven times returns you're expecting, what is that assume on utilization is that just on this dedicated volumes or what are the expectations for utilization the ramp overtime?
Ruben Martin: Yes, that is unexpected volumes that were shown at the base load of up to 40,000 a day. Obviously we're building at larger than that thinking that there is potential for growth there which in fact would buy down that multiple.
T.J. Schultz: What are the plans for and when do you need to finance your portion of that project?
Bob Bondurant: That capital spend is weighted to the early part for the first two quarters of next year. And so we'll be looking to raise capital probably at that point in time. Obviously we have capacity under revolving credit facility to start the project, but given where leverage is and where leverage has been tracking, it’s reasonable to assume that we’ll l be looking to raise capital in the first two quarters next year.
T.J. Schultz: Kind of related just given the equity yield, what's your view on turn of levels of distribution we’ve seen others in this space with similar yields recently cut distributions just with the comment that they do not want to pay that out if the market is not going to credit them for the payouts, so just your general thoughts on financing in that environment going forward in your distribution level right now?
Bob Bondurant: I think we’re still comfortable at $2.50 per quarter pertaining to some sort of acquisition certainly we don’t like the cost the elevated cost where we’re trading. So, I think we would have to look at alternative financing solutions perhaps the preferred market which we seen has been active again given as yields have tracked upward. So we're exploring all options but I think we’re comfortable at $2.
Ruben Martin: Yes how about we said good coverage's, we’ll be having our guidance early next year and so our plans are to stay where we are.
Operator: Your next question comes from the line of Matt Schmid from Stephens. Your line is open.
Matt Schmid: Just looking at the Terminalling and Storage segment, obviously there is a good amount of noise from Harvey this quarter. On the OpEx its moving from - I think $15 million in the second quarter to $25 million in third quarter. How should we think about that going forward?
Bob Bondurant: That is definitely a one-time blip. We accrued so you understand the account, we accrued what we spent $1 million in actual repair maintenance costs and then we accrued another 4 million that will be paid out I think its actually 3.8 or so over the next two quarters majority in the next quarter, so that’s one piece of the incremental increase. The second was we accrued an asset retirement obligation for a shore-based terminal that we are exiting in the future and that was a non-cash charge that went through operating expense and that was almost $6 million. So effectively you had six plus roughly four, about $10 million of non-cash accruals hitting in that expense line, so I would trim back to the normal operating expense prior to this quarter.
Matt Schmid: And maybe just update on asset sales of that, I think it’s a 13.8 million held for sale is that tracking the close in the fourth quarter or just any general update on it?
Bob Bondurant: I'm going to knock on wood here, the person buying about half - there's one large asset in there and we are expected to close on that we think early next week, that will raise about 6.8 million of 13.8 million and the balance of the assets which are bunch of odds and ends will continue to market. We have good indication probably on 3.5 of that but I don't expect incremental 3.5 to close in this calendar year, I think it could leak into next year.
Operator: Your next question comes from the line of Mike Gyure from Janney. Your line is open.
Mike Gyure: Can you talk a little bit on the fertilizer side of the business maybe your outlook as you move into 2018 or kind of where do you think maybe some market opportunities are there?
Bob Bondurant: Well just so you understand our guidance going forward will fully tell the market that in January the early - we’re actually having our budget meetings next week, I think the early read has actually took then the ones yesterday Ruben and I actually did and it feels like it’s going to be a similar kind of cash flow year early read in 2018 compared to 2017, I think they have some opportunities on the supply cost side. They were talking about yesterday that will help margins, I think the AT market remains strong for us other than that Ruben you have any other color.
Ruben Martin: No its business as usual we haven't seen a decline in volume margins and the things that should be in that thing.
Bob Bondurant: And just to educate the Hurricane Harvey did have an impact on some of our competitors on the ammonium sulfate side which is byproduct production on the Gulf Coast. So I think we can take a bit of benefit there and just so everybody understands fully our fertilizer business it is a niche, kind of low volume high margin world that we live in. And so for other fertilizer companies on a large-scale dapper are having some issues we’re really not seeing that in our niche level side of the business if that make sense.
Mike Gyure: And then maybe on the Asphalt side of the business, can you talk a little bit - I think you said that the volumes were little bit lower than you originally estimated. Can you talk about what’s going on with the integration?
Bob Bondurant: Yes we’ve had interesting this year this year on Asphalt. It has been a lower volume throughput but - I think there's a lot of projects that weren’t done this year, I think from weather impact from Harvey et cetera that will carry over to next year. The state of Texas has a large spend over the next three years beginning in October of 2018, the voters of Texas have past infrastructure builds I think the increase is roughly $2 billion is that right Joe, $2 billion that will begin in October of 2018. So, and we’re well positioned with our Hondo terminal to get a lot of that growth in the Central Texas the Austin San Antonio area. So the big picture point is yes we've had an impact this year. I think a lot of projects have gotten delayed effectively because of weather and the fact that big spin is beginning next year. So although we’re down this year, I think we’re confident that that’s going to go back to normal top end numbers beginning next year.
Operator: Your next question comes from the line of James Spitzer from Wells Fargo. Your line is open.
James Spitzer: Just wondering outside of West Texas LPG, what other types of organic growth opportunities may be out there for you in 2018? And if there specific examples, just, sort of, what kind, what segments you think might provide the most opportunity at this point?
Ruben Martin: We're constantly reviewing the markets. We do have several projects that we are looking at in the NGL segment that we are looking at projects and we are looking at projects in the storage, gas storage and a lot of these different aspects of the company. And so we have several working at this time but again with our cost capital and so forth, we’re going to evaluate each one of them and we will review accordingly, but there's a lot of activity out there.
James Spitzer: And then secondly, I know you spent a lot of time in the past talking about your focus on the balance sheet and leverage. I wonder if you can just comment on where you are today versus where you want to be and if there's still more work to be done on that side or if, any general commentary will be helpful.
Joe McCreery: I think with respect to balance sheet and leverage specifically, we are probably 20 basis points higher than we thought we would be at this point in time, as per the leverage basis. But again I think that's directly attributable to the fact that we’ve got more NGL store this year than ever before at a higher cost really than we anticipated on the year-over-year basis. So that is tracking well from a deleveraging perspective as Bob said in his comments. We think we’ve got two good sales quarters of butane ahead of us, so that should effectively normalize our leverage. But again we’ve still got work to do, right. We've given the market guidance that our goal was for and a quarter times and so from that perspective you know there has to be in equity equivalent to the equation here. But we would like this play out from cash flow earnings perspective, really the next two quarters, let’s call it. We know we have got spend as we talked about with respect to growth capital in the West Texas LPG expansion, so that comes in equation. We've got some work to do, there is no doubt about it.
Operator: Your next question comes from the line of Kyle May from Capital One Securities. Your line is open.
Kyle May: I realize that you haven’t given us official guidance for ‘18 yet but just wondering if you could maybe give us some bookends or rough idea of how the budget could look next year given the incremental 40 million that you are going to contribute from West Texas LPG.
Joe McCreery: I’ll start and others can add in. This is Joe. So as we think about 2018, obviously we know we've got some contracts to come up at Cardinal, the pivotal asset. So we are working from a cash flow perspective. We know we've got additional cash flow coming on late in the year with respect to the West Texas LPG expansion. I would say that would be perhaps offset by reduced throughput may be in the Marine shore-based terminals that we can see looking ahead in the crystal ball. I think the kind of pluses and minuses, if I had to handicap it capital now, Kyle, I think our guidance would be in the one, one to one two times currently from distribution coverage ratio perspective. But you’ve got lot of plusses and minuses as the true portfolio effect and Ruben is right with respect to a full year of cash flow coming in our specialty terminals group from the Hondo dropdown, we will have that positive impact. So, there's a lot of plusses and minuses, I say with respect to the overall business. But we’ll firm that up for everybody and come out with our guidance, really about six weeks earlier than we ever have. We are tracking for late January this year or next year rather.
Kyle May: And maybe one more, in the Q that was filed yesterday, I believe it mentioned the Hondo terminal was substantially completed end of September. What kind of expectations do you have for Hondo in the fourth quarter and then pushing in the beginning of '18?
Bob Bondurant: Well this is Bob, I will take that. Basically the way the throughput contract is structured, it should be an incremental 1.250 million every quarter for a total of 5 million on annual basis. Minimum volumes, I think our minimum volume was 100,000 tones. There is some opportunity to go over 100,000 tones but we would not realize that if probably until late next year. So if you are modeling out, I would plug in about 1 million a quarter every quarter.
Operator: [Operator Instructions] There are no further questions at this time. I’ll turn the call back over to the presenters.
Bob Bondurant: I want to thank everybody for being on the call today and taking the time to dig in our company. At Martin, we feel like we’re well-positioned in fourth quarter and looks it we'll have our 2018 cash flow earlier than we normally do. We've got strong coverage on a trailing 12 months basis of 1.27, and we've got several projects including the WTLPG line and new line there that we're really look forward to them and get going. So we appreciate everybody's time. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation and have a wonderful day. You may now disconnect.